Operator: Welcome to the FactSet Research Systems first quarter fiscal 2010 quarterly earnings conference call. (Operator Instructions) Now I will turn the call over to Senior Vice President of General Counsel, Rachel Stern; you may begin.
Rachel Stern: Good morning and thanks to all of you for participating today. Welcome to FactSet’s first quarter earnings conference call. Joining me today are Philip Hadley, Chairman and CEO; Peter Walsh, Chief Operating Officer, Mike Frankenfield, Director of Global Sales and Maurizio Nicolelli, Senior Vice President for Finance and Tax. This conference call is being transcribed in Real Time by FactSet’s Call Street service and is being broadcast live via the Internet at www.factset.com. A replay of this call will also be available on our website. Our call will contain forward-looking statements reflecting management’s current expectations based on currently available information. Actual results may differ materially. More information about factors that could affect FactSet’s business and financial results can be found in FactSet’s filings with the SEC. In an effort to provide additional information, our comments may include non-GAAP measures such as free cash flow. Any non-GAAP measures discussed today have been reconciled to the related GAAP measure in our earnings press release and our SEC filings. Lastly, FactSet undertakes no obligation to update publicly any forward-looking statements as a result of new information, future events or otherwise. I’d like to turn the discussion over now to Maurizio Nicolelli, Senior Vice President for Finance and Tax.
Maurizio Nicolelli : Thank you Rachel, and good morning everyone. From here our call today will cover three areas. First I’ll review results for the quarter. Then I’ll outline guidance for the upcoming second quarter. Finally we’ll close with our management team addressing your questions. Before we begin I would like to take a moment for one housekeeping item, in the first quarter last year there was a tax benefit that increased earnings by $0.03 a share. Excluding this prior year benefit EPS grew 6% to $0.74 from $0.70 in the prior year period. Now turning to the quarter’s results, from a top and bottom line perspective, first quarter results followed guidance we gave back in September. We indicated last quarter that we believed our business was stabilizing and that we expect this period will last at least until our industry and Wall Street realizes a healthy paper profit with a turn of the calendar year. Our performance was solid in the first quarter. While organic ASV declined by $2 million, operating margins were 35% and EPS grew 6% excluding the prior year tax benefit just mentioned. While the market improved FactSet continues to invest aggressively in our future. We successfully released a new platform this quarter and are very pleased with the client adoption rate. We believe that the FactSet is deepening the engagement level of thousands of users. The best metric to support this is the accelerated 16% increase in users of news and quotes just during this quarter alone. New FactSet is broadening the use of available functionalities by existing users. Over the last 12 months employee growth was 44%. We’ve been growing our proprietary content operations to take advantage of significant opportunities within our client base. Overall we believe that our heightened investment levels have strengthened our market position and will also improve our participation rate in what we believe will be a more constructive selling environment next calendar year. Let’s begin the review of the first quarter with free cash flow, free cash flow captures all the balance sheet and P&L movement. As a reminder we define free cash flow as cash generated from operations, which includes the cash cost for taxes and changes in working capital less capital spending. For the first quarter free cash flow was $19 million compared to $30 million in the year ago period. Free cash flow this quarter was adversely impacted by a non-cash adjustment of $15 million in tax benefits from stock option exercises. Excluding this tax benefit in both periods, free cash flow would have been up 9% to $34 million from $31 million in the prior year quarter. While this amount is a detriment to the first quarter’s free cash flow it is temporary as this tax benefit will increase free cash flow in subsequent quarters through lower income tax payments. During the last year free cash flows were $172 million, an increase of 33%. Free cash flows also exceeded net income by 18% illustrating the high quality of our earnings. Other drivers of free cash flow during the first quarter were increased level of depreciation and amortization expenses, lower CapEx and accounts receivable. Over the last 12 months accounts receivables have decreased 15% while revenues were flat. DSO at quarter end is now a record low 35 days, down from 42 days a year ago. As in previous years we expect receivables to increase by more than 10% during the second quarter identical to prior years. FactSet invoices a small portion of its clients annually in advance. When our annual invoices are circulated, we expect that accounts receivable and deferred revenues will increase approximately $11 million. Please recall that FactSet also remits estimated income tax payments for the first half of the year during the second quarter. Although lower due to our tax benefit from first quarter employee stock option exercises, we paid $9 million in December representing our estimated tax payment for the just completed first quarter. The timing of estimated tax payments is consistent with prior years. Capital expenditures were $6.7 million during the quarter. Approximately 80% of capital expenditures were for computer equipment while the remainder covered office space expansion. While our ending cash and marketable securities balance was $218 million at November 30, 2009, during the first quarter we invested $52 million to repurchased common stock and paid a quarterly dividend of $9 million. With the approval of an additional $100 million through the share repurchase program, there is $150 million remaining in repurchase authorization. Moving now to the P&L, revenues were $155 million, flat versus a year ago. Operating income advanced 5% to $54 million. Net income rose 2% to $36 million, EPS was $0.74 per share, up 1% compared to the prior year. Excluding a $0.03 benefit to EPS relating to a tax benefit in the prior year EPS was up 6%. Let’s review the revenue drivers during the first quarter. ASV grew $2 million in absolute terms. Excluding non-subscription revenues totaling $4 million, organic ASV declined $2 million during the quarter. Continued stabilization throughout our client base was offset by the judicious approach of large clients toward their overall market data spend. Large clients continued to be very cautious in both their incremental data spend and additional hiring. During the first quarter we saw a healthy reduction in the number of client cancels but for obvious reasons there was not a meaningful increase in new firm creation. Once the industry returns to healthy profit we expect the benefit from additional data spending and increased hiring levels. As a reminder we define annual subscription value ASV, as the forward-looking revenues for the next 12 months from all services currently being supplied to our clients. Let’s look at some trends that we see in our client base. Both our user and client count was steady for the second consecutive quarter. Users increased slightly to 37,400 users and clients declined by one to 2,044 clients at November 30. The annual client retention rate was greater than 95% of ASV and 87% of clients. Although we are not excited about the absolute ASV change during the quarter compared to our historical levels, we know from experience that multiple quarters of strong market performance is necessary to change our clients annual spend. We are optimistic that many of our clients will likely benefit from the approximate 20% increase in the broader market indexes this year. In fact our user account has appeared to have stabilized in two quarters since September, 2008. By comparison it took over two years for our user count to stabilize after the downturn of 2001. During the first quarter we saw several positive trends that reflect our aggressive investment levels. We are delighted with the reception that the new FactSet platform has received by our client base. Anecdotal feedback we’ve gotten has been enthusiastic. Our investment in the new FactSet consolidates data and analytics across multiple applications onto one comprehensive intuitive interface improving both functionality and ease of use. Since its release in September thousands of users have been upgraded. This success has accelerated usage of our global real time news and quotes. Users are up 16% just during the first quarter and up 30% over the last year. Real time users have increased during every quarter since our real time news and quotes product was released in 2002. Since our clients rely heavily on our real time product on a daily basis, this statistic is significant. We interpret it to mean that the overall engagement level from existing users is increasing. We also continue to be pleased with the growing returns from our investment in proprietary content. The acceptance rate of FactSet Fundamentals by new and existing clients continues to grow. During the past 12 months we have reduced our third party vendor payments related to fundamental data by over $7 million due to clients switching from two FactSet Fundamentals from third party vendor databases. In addition demand for FactSet Estimates continues to expand. Estimates are a data set desired by a high percentage of our current and prospective clients. Our expanded coverage and textual research has made our product more competitive in the marketplace. Our portfolio analysis suite continues to be a source of growth. This suite is comprehensive and includes the application for portfolio attribution, risk, and quantitative analysis. During the quarter we saw incremental purchases of our quant and risk products and the addition of 32 PA users while our client count remained the same. At quarter end our investment management business accounted for 82% of total ASV with the remainder relating to services provided to M&A, investment bankers, and sell side equity research professionals. Turning to geographic performance, the US business produced revenues of $105 million, down 1% versus the year ago quarter. Revenues from overseas increased 1% to $50 million. By region quarterly revenues from our European and Asia Pacific operations were $39 million and $11 million respectively. ASV by non-US based clients grew to $201 million representing 32% of the company wide total. Moving to expenses for the quarter operating expenses were $101 million, down 3% from the year ago quarter. The reasons for this decline were favorable currency movement, lower third party data vendor payments, and reduced stock based compensation. As we discussed on last quarter’s call we hedged the majority of currency exposure for the first quarter early in the 2009 calendar year. Our benefit from hedging euro and pound exposure amounted to $1.3 million during the first quarter. Currently we are covered for that exposure through mid-January 2010 due to hedging 90% of our euro and pound exposure last spring. Using today’s rates compared to the second quarter last year currency would increase operating income by $600,000 in the upcoming quarter and this impact is factored into our second quarter guidance. Our operating margin was 34.8%, down 20 basis points from the fourth quarter. As a reminder fourth quarter revenue was higher by $800,000 from the use of FactSet by summer interns which was not repeated in the first quarter. Turning to the specifics of the quarter, cost of sales as a percentage of revenues decreased by 180 basis points over the last year. Lower levels of external data collection and a decline in data vendor royalty payments were partially offset by higher compensation expenses. The reduction in external collection costs was the result of ending a BPO relationship during the third quarter of fiscal 2009. Lower royalty payments are the result of increased client usage of FactSet’s proprietary content. Higher compensation is due to expanding the number of employees particularly in our offshore facilities. SG&A expenses expressed as a percentage of revenue declined 10 basis points year over year. This decrease was driven by foreign currency hedging gains, lower T&E offset by higher occupancy costs. Foreign currency gains included in SG&A were the result of favorable hedging contracts entered into earlier this year. T&E declined due to a continued prudent approach to inter office travel. Occupancy cost increased because of office expansion at our Boston, New York, and offshore locations compared to the year ago quarter. Our employee count was 3,300 at November 30, an increase of 300 employees during the quarter. The rise in headcount was driven by the offshore expansion of FactSet’s proprietary content operation. Lower interest rates caused other income to decline by 61%. The average annualized return on cash and cash equivalents was just 25 basis points during the quarter. Our effective tax rate for the quarter was 33.4%. This rate is consistent with the fourth quarter and down 80 basis points versus the prior year excluding a $0.03 tax benefit in the first quarter of last year. The US Federal R&D credit is currently to expire on December 31, 2009. Our effective tax rate is based on current enacted Tax Laws and appropriately reflect the credit only for the first four months of fiscal 2010. Assuming the R&D credit does not get extended, FactSet’s effective tax rate should range between 33.5% and 34% in the second quarter. To provide context, the R&D credit was originally enacted in 1981. Over the last 28 years the credit lapsed once for almost a full year between 1995 and 1996. Congress has extended the credit 14 times with extensions ranging from five years to six months. Discussions in Washington are ongoing to extend the credit for calendar year 2010. EPS was $0.74 in the first quarter, a growth rate of 1% year over year. When excluding a $0.03 income tax benefit in the prior year period, EPS grew 6% compared to the prior year period. Let’s move to our outlook for the second quarter of fiscal 2010. The projected revenue range for the second quarter is $154 million to $158 million. This guidance factors in a 3% price increase to most US investment management clients in January, 2010. EPS should range between $0.73 and $0.75. Both ends of the range were reduced by $0.01 to reflect the lapse of the US Federal R&D tax credit effective December 31, 2009. The range for capital expenditures net of landlord contributions is $20 million to $26 million for fiscal 2010. In summary we believe we have made great strides over the last 12 months, generating strong EPS and free cash flow while investing aggressively for the future. We are excited about the rewards from our aggressive investment in content and energized about the release of the new FactSet. The new FactSet was released this quarter and is improving the workflows of thousands of users with great feedback. Our ability and willingness to reinvest capital into our operations at levels we think many companies would envy, we believe will position us to take advantage of a global economic recovery. Thank you for your participation in today’s call, we are now ready for your questions.
Operator: (Operator Instructions) Your first question comes from the line of Kevin Doherty - BofA Merrill Lynch
Kevin Doherty - BofA Merrill Lynch : I guess just first of all if you can just comment about the incremental revenue opportunity you see from the new FactSet platform and maybe how you’re pricing this product for customers who were already using that bundle of I guess Marquee, DIRECTIONS and IBCentral.
Michael Frankenfield : There is no direct incremental costs for the new FactSet. Rather we view the new FactSet as an opportunity to partner and engage with our clients at a much greater level. We view it as an opportunity to drive usage of the applications, usage of all aspect of FactSet and to enable clients to have a complete solution with FactSet.
Kevin Doherty - BofA Merrill Lynch : I guess maybe following up on that, could you talk a little more specifically about what some of your revenue drivers will be going forward and particularly some of the investments you’ve been making, how that ultimately translates into the incremental revenue growth here.
Michael Frankenfield : As you know FactSet really isn’t a one trick pony. There are many, many components to our business. The traditional drivers remain in place. Our value added applications in the portfolio analytics and quant space continue to have bright prospects. We have a large initiative to build and deploy our own proprietary content and that represents a big opportunity in the future. And the new FactSet itself I think will do a lot to drive revenue from an incremental user perspective. Of course as the industry stabilizes and we begin to see new firm creation we obviously have the opportunity to expand well beyond the couple thousand firms that we have today.
Kevin Doherty - BofA Merrill Lynch : You made some comments about the next calendar year being probably a better selling environment and I know last quarter in your conference call you talked about some of the investments you’re making to eventually help you to kind of get back to that double-digit revenue growth range, I’m just curious if you think you can hit that double-digit range later in this fiscal year, maybe next in calendar year or at what point do you think we sort of get back to some of those historical levels.
Michael Frankenfield : Its difficult to predict when we’ll get back to double-digit growth and that’s certainly an incentive of the firm. What’s going on in the marketplace right now is that even though as Maurizio mentioned markets are up over 20% in the US year to date, not all of our clients have participated in that growth and there are still a number of firms that are struggling and still rationalizing their cost structure. So things are a little bit choppy. We need to see some new hiring and some stabilization before we can see an acceleration of the growth rate.
Kevin Doherty - BofA Merrill Lynch : I appreciate the comments you made about the pricing outlook but I guess any reason why the international customers or the sell side customers wouldn’t see that same sort of price increase.
Michael Frankenfield : We’ve historically done our price increases at different times for different markets. The US investment management market is traditionally the market that goes first at the beginning of the year and as we formalize our plans for the rest of calendar 2010 we’ll let you know.
Operator: Your next question comes from the line of Glenn Greene - Oppenheimer & Co.
Glenn Greene - Oppenheimer & Co. : First on Fundamentals, could you just give us the revenue and profitability impact from Fundamentals in the quarter.
Peter Walsh : As we covered last quarter consistent with all our other products, the granular details behind FactSet Fundamentals is something that we’re no longer disclosing in our earnings press release and that’s primarily because Fundamentals is now accretive to our P&L.
Glenn Greene - Oppenheimer & Co. : And similarly the FX impact, I know there was a data point out there, but could you clarify what the impact to revenue and profitability was on the quarter and how we should think about it for fiscal 2010, not necessarily just next quarter as you roll off the hedges.
Maurizio Nicolelli : During the quarter the FX benefit was $1.3 million. If you use today’s rates for the next quarter, the benefit next quarter will be $600,000. We continue to see benefits from currency. FX we don’t see as a material item to our margin. Even with the US dollar weakening against the pound and the euro over the last 12 months, the US dollar is still 16% stronger than the pound and 4% stronger against the euro since the financial crisis began. So we continue to see benefits in our P&L from FX and we don’t see that as a material item effecting our margins.
Glenn Greene - Oppenheimer & Co. : And then just the clarification on the ASV organic decline sequentially in contrast to the users and clients being relatively flat, I guess with just some of your larger clients sort of rationalizing some of their use of data providers such as you, if you could help me understand that a little bit better.
Michael Frankenfield : I think what we saw was a little bit scaling back in the bigger clients and the change is really not material overall.
Glenn Greene - Oppenheimer & Co. : And is that something you suspect you’re going to see, a continued sort of theme for the next few quarters.
Michael Frankenfield : No, I think its difficult to predict exactly what will happen. Again go back to my comments about seeing markets stabilize, getting through the rest of this calendar year so that clients begin to have more visibility into their revenue models themselves and therefore feel comfortable spending more.
Glenn Greene - Oppenheimer & Co. : Are you talking about calendar year 2010 or calendar year 2009, sorry.
Michael Frankenfield : As we get moving into calendar year 2010.
Operator: Your next question comes from the line of Shlomo Rosenbaum - Stifel Nicolaus
Shlomo Rosenbaum - Stifel Nicolaus: I just wanted to ask you just straight out, I mean what’s the sales environment like this quarter versus last quarter. We’ve seen some of the mixed metrics but what are you hearing from your sales force and what’s the sense that you’re getting.
Michael Frankenfield : I think the sales environment remains very much the same. Certain clients are, there’s a robust sales pipeline. There are lots of bright spots in some of the product lines that I mentioned, there’s increased demand for some of the analytics, quants. Certainly the fixed income product suite is doing very well for our clients. And clients are very excited to upgrade to the new FactSet and that whole initiative is moving ahead of schedule and well ahead of our internal plans. That balanced with some remaining uncertainty in the market, but I think if we get through this calendar year we should be in an improved selling environment.
Shlomo Rosenbaum - Stifel Nicolaus: And can you walk me through the puts and takes of the margins again, I heard you talked about it but there was, 140 basis points sequential increase and is that sustainable, how should we think of that.
Maurizio Nicolelli : If you look at the margin over the past year, yes it has increased. And its really been driven by two items. One is the reduction in our data royalty payments that we pay to third party vendors. That had over 100 basis point effect for operating margins. That was the biggest item. The next biggest item is really the reduction in our, in what we pay for data collection through third party vendors. Those are probably the two biggest ones that were, the effect of our increase in our operating margins.
Shlomo Rosenbaum - Stifel Nicolaus: So the royalty payments, is that because people are using more of your proprietary data, is that the way to understand it.
Maurizio Nicolelli : That’s correct. Clients are switching to our proprietary data from third party vendors. Specifically that’s FactSet Fundamentals.
Shlomo Rosenbaum - Stifel Nicolaus: And then US revenue declined sequentially and international grew, is that the maturity of the locations or is there anything else going on over there, any color you can provide.
Michael Frankenfield : I don’t think there’s anything of [inaudible] significance in those numbers. Those are reflective of the overall choppy environment.
Operator: Your next question comes from the line of Gregg Moskowitz - Auriga USA
Gregg Moskowitz - Auriga USA : Previously I believe you were targeting double-digit employee growth in fiscal 2010 with most of the headcount adds coming offshore which is what we saw this quarter but you’re actually nearly at that number already following about 300 hires in Q1, so I was just wondering if you had an updated headcount plan for fiscal 2010. Could it grow 20% this year or possibly even a little bit more than that as you look to really bulk up your proprietary content.
Philip Hadley : I think as you can see, as the business, we’re making the transition from getting a lot of our content via third parties to creating it more internally, I think our headcount plan is one where you can that we’ve managed to grow our headcount substantially over the last year and a half. But continue to keep margins and grow our business. But as we look forward, we’ll continue to invest very heavily in headcount both on and offshore to produce a more competitive product in the marketplace.
Gregg Moskowitz - Auriga USA : And I apologize in advance for perhaps having to ask a somewhat difficult question but in late September we saw I believe the largest amount of insider selling in years, and so I was a bit surprised to see FactSet buyback that $20 million more stock than in the prior quarter so I was just wondering if you could perhaps help reconcile those two items.
Philip Hadley : I think there’s several factors involved, one a big portion of the options were granted in 2000, 2001 so they’re reaching the end of their live in particular where its at that point. Second I think its just one if you look over a long period of time the average stock price is higher that period for our employees and they hadn’t seen a window of opportunity and took advantage of it. But I think if you look at what the company is doing at the corporate level, we certainly believe that investing in our stock is something that’s valuable for our shareholders and you can see by the increase in our share buyback plan that we view that as a good allocation for capital.
Gregg Moskowitz - Auriga USA : And then I think last quarter you had talked about the plan for flat operating margins over fiscal 2010, is that still what more or less you’re targeting for the next year.
Philip Hadley : Flat operating margins has been the way we’ve always run the business and if you track us through time, its gone up, its gone down, its not something that’s a mandate for us, but it’s a benchmark we use to guide ourselves as to our investment levels in our opportunities. Fortunately as a business we’ve been able to find cost savings in areas and continue to invest. As you can see with the growth in the headcount, we’ve been able to grow a headcount that substantially would keep margins where they are and keep earnings expectations.
Operator: Your next question comes from the line of David Lewis – JPMorgan
David Lewis – JPMorgan: I was wondering if you could just elaborate on how you’re approaching selling proprietary content to non-FactSet clients. It’s a more sizable market and just what capacity you have there to reach clients that aren’t FactSet clients right now to sell Fundamentals, Estimates, etc.
Philip Hadley : I think you bring up an interesting point and its certainly a growing area of our business one that we were not able to participate in before. We were 100% an integrator of content as opposed to a producer of content. And its one where we have a team of people who’s sole purpose is to work on selling FactSet content through what we call an [inaudible] environment. In other words not necessarily directed to our interface. Its an area where there’s great opportunity and one where we have very little share and a [inaudible].
David Lewis – JPMorgan: Are you, would you reach a point where you’re growing the sales force to try to target that more aggressively in a better environment.
Philip Hadley : Each scenario where that particular sales force is better organized and a growing portion of our sales force is specialized away from our traditional platform in their area of expertise and how the content is delivered and who they’re selling to.
David Lewis – JPMorgan: Is there a trend of selling more bundled proprietary content from your competitors that changes the dynamic of selling proprietary content or that’s put any pressure on it.
Philip Hadley : I don’t think anything is particularly different in the marketplace. I think the marketplace is aligned differently now than it would have been five or ten years ago in that most of the major players have a house branded content. We’re still unique in the marketplace in that we sell all of our competitors’ content as well. Many of the large institutions choose to buy two or three flavors of a particular content set, Fundamentals and Estimates being a great example of that. Just because there are nuances product by product that they find important in their workflow.
Operator: Your final question comes from the line of Peter Appert - Piper Jaffray
Peter Appert - Piper Jaffray : Can you please tell us what portion of the clients currently take the FactSet Fundamentals offering.
Philip Hadley : That’s not a number we currently disclose.
Peter Appert - Piper Jaffray : In the context of your earlier comments about targeting stable margins, I was thinking that with the greater portion of content proprietary and the clear margin benefit we’ve seen from more proprietary content sales over the last year, wouldn’t it be reasonable to think there could be some secular upside in margins as you continue to see this evolution in your offerings.
Philip Hadley : That would be the natural thing to believe that there is operating margin opportunity in content. At the same time as you know and we’ve always chosen investments in the future of our products so any margin benefit we get we tend to invest in new content and new applications to broaden our opportunities.
Peter Appert - Piper Jaffray : So not inclined to let the margin flow through.
Philip Hadley : No.
Peter Appert - Piper Jaffray : And then to a point Michael had made earlier about the new FactSet as a way to drive client relationships is it possible to give us some specifics or maybe case study on how the new FactSet actually drives revenues.
Michael Frankenfield : When you think of the new FactSet and you put it in the context of our history, its really what we think of as traditional FactSet plus Marquee merged into one interface. The business objective we had with Marquee really is to be able to go after a much broader audience that we believe in the financial community. As a historical research product the portfolio manager and the research analyst both buy and sell side was our core client base. Many times there were very data centric and needed a very deep level of information. The lowest common denominator in our industry for the financial professional is news and quotes. I’m not sure exactly what the number is but its way over half a million [inaudible] of news and quotes out there in the industry. So our goal with Marquee was to be able to engage that user base. We’re very excited with our new interface to be able to merge heavy analytics, historical facts, whether it be on the TA side, or the quantitative side with news and quotes because there are many users where they had to go to separate products to get that portion of their workflow. So the primary business objective is to be able to attack the marketplace and create the multiple hundred thousand [seat] opportunity for [inaudible].
Peter Appert - Piper Jaffray : So its really about growing [seat] count, its not about growing revenue per seat.
Philip Hadley : Correct.
Peter Appert - Piper Jaffray : And that I guess speaks to an earlier question because I recall that perhaps in the last call or maybe a couple of calls ago, you had indicated there was at least some thought process involved in potentially repricing the product in the context of new FactSet, I guess what I hear now is that’s really not part of the strategy.
Philip Hadley : I don’t recall the context exactly where you’re coming from on that, I think as a business we’re constantly analyzing the opportunities we have in the marketplace to properly price our product to match the value that we create. So I guess to that end certainly if we were able to create substantially greater value for the clients we would certainly explore that as an opportunity. But the real core driver is to be able to drive seat and revenues per seat, that’s a huge positive as well.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
Maurizio Nicolelli : Thank you very much and we’ll see you next quarter.